Operator: Welcome to the Wynn Resorts Third Quarter 2025 Earnings Call. [Operator Instructions] This call is being recorded. [Operator Instructions] I will now turn the line over to Julie Cameron-Doe, Chief Financial Officer. Please go ahead.
Julie Cameron-Doe: Thank you, operator, and good afternoon, everyone. On the call with me today are Craig Billings and Brian Gullbrants in Las Vegas. Also on the line are Jenny Holaday, Linda Chen and Frederic Luvisutto. Please note that we've published a presentation to provide more color on the company and recent performance ahead of this call. You can find the presentation on our Investor Relations website. I want to remind you that we may make forward-looking statements under safe harbor federal securities laws, and those statements may or may not come true. I will now turn the call over to Craig Billings.
Craig Billings: Thanks, Julie. Good afternoon, and as always, thank you for joining us. I'll jump right into the quarter, and I'll kick off here in Vegas. Wynn Las Vegas continued to see notable gaming market share gains in the quarter, driven by our incredible team and market-leading product and service, resulting in EBITDA growth on a hold adjusted basis of 3% to $211 million against a difficult comp. Demand in the casino was healthy throughout the quarter with solid increases in both drop and handle leading to casino revenues that were up 10%. Hotel revenue was flat at $187 million, demonstrating that our plan to accept slightly lower occupancy in order to preserve ADR and maximize EBITDA paid off during the quarter. In fact, in August, the property set an all-time monthly EBITDA record. We also look forward to completing the renovation of the c3 by the end of this quarter and to the opening of Zero Bond -- apologies, sorry for that. Wynn Las Vegas continued to see notable gaming market share gains in the quarter, driven by our incredible team and market-leading product and service, as I mentioned. More recently, business in the fourth quarter has seen continued momentum with drop and handle both up versus the same prior period last year. We've also seen notable growth in RevPAR and strong retail sales. So with the fourth quarter off to a strong start, we are now turning our attention to F1. You can look at our published room rates for the event and see that we are once again pricing at a significant premium to the market. Looking further out, our group and convention business looks strong heading into 2026 on pace to grow both room nights and rate over 2025. I do want to note that as we begin the Encore Tower remodel in the spring, we will lose about 80,000 room nights in 2026. We will attempt to pick up some of that in rate, but the remodel will present a slight headwind for 2026. Importantly, we continue to invest in our market-leading assets here in Las Vegas. And ultimately, while macroeconomic and geopolitical uncertainty remain a consideration, we remain positive on the outlook for our business in Las Vegas. Turning to Boston. We generated $58 million in EBITDAR. In terms of fundamentals, the business at Encore Boston Harbor remains solid with slot revenues growing over 5% year-on-year and OpEx tightly controlled. More recently, demand in Boston has remained healthy in October with both drop and handle above last year. Macau also delivered very strong results in the quarter, which were further aided by higher-than-normal VIP hold. The business generated $308 million in EBITDAR, including $23 million of VIP hold benefit. Mass volumes were particularly strong, up 15% year-on-year despite the weather disruption near the end of the quarter. The cadence of Golden Week was a bit unusual this year and that we saw heavier volumes towards the tail end of the holiday and after the holiday period. Beyond Golden Week, volume metrics in the quarter have been strong with turnover and mass drop both running well ahead of last year. With sustained double-digit market-wide growth in GGR, we continue to be optimistic about the future of Macau. The premium segment continues to lead the market in Macau. Last quarter, we discussed 2 new projects, an expansion of the Chairman's Club gaming area at Wynn Palace and a refresh of our Wynn Tower rooms at Wynn Macau to ensure we continue to take advantage of this ongoing demand. Both projects are moving along very quickly. The Chairman's Club expansion should be complete ahead of Chinese New Year, and we are already completing the initial floors of the Wynn Tower room renovation now. While we expect some minor disruption into year-end from these projects, once complete, it will further elevate our offerings at both properties. Wynn Al Marjan Island continues to progress rapidly, and we look forward to welcoming many of you to the site in less than a month. We're pouring the final 2 floors now and are on track to top out the tower ahead of our analyst event in December. We are also pleased to announce our first development on the Marjan land bank adjacent to Wynn Al Marjan, the Janu Al Marjan Island by Aman Group. The Aman team are world-class, and we're delighted to have them as a neighbor. From a structuring perspective, our JV, the same JV that owns Wynn Al Marjan will own the property and the Aman team will manage the asset. Given the recent success of condo sales in the UAE in general and Ras Al Khaimah in particular, we anticipate our portion of the equity check for the project will be quite small, about $25 million to $50 million. Beyond the stand-alone merits of the transaction, we also expect Janu's high-quality customers will be additive to Wynn Al Marjan Island. With the Marjan land bank, we have significant additional long-term development opportunities in the UAE. You can see more about this initial development in our quarterly earnings presentation. We remain on track for our targeted opening date of Wynn Al Marjan Island and look forward to showcasing what we believe is the most compelling development opportunity in the industry. With no competing operations announced to date, Wynn Al Marjan Island will be the only integrated resort in what many analysts are predicting will be a $5 billion-plus GGR market. Our future continues to be bright. The opening of Wynn Al Marjan Island and the free cash flow inflection that it will bring gives us confidence that our best days lie ahead. I'll now hand it over to Julie to run through some additional details on the quarter.
Julie Cameron-Doe: Thank you, Craig. At Wynn Las Vegas, we generated $203.4 million in adjusted property EBITDAR on $621 million of operating revenue during the quarter, delivering an EBITDAR margin of 32.8%. Unfavorable hold negatively impacted EBITDA in the quarter by just under $8 million. OpEx, excluding gaming tax per day, was $4.3 million in the quarter, up 3.1% compared to the prior year due to a bad debt swing and onetime expenses in repairs and maintenance. Otherwise, there were normal course ebbs and flows in OpEx. Turning to Boston. We generated adjusted property EBITDAR of $58.4 million on revenue of $211.8 million, with an EBITDAR margin of 27.6%. Slot revenues were very strong, up 5% and set a new record for Boston. We maintained our discipline on the cost side with OpEx per day of $1.16 million up 1.9% compared to Q3 2024 despite continued labor cost pressures in that market. The Boston team has continued to do a great job of mitigating union-related payroll increases with cost efficiencies in areas of the business that do not impact the guest experience. Our Macau operations delivered adjusted property EBITDAR of $308.3 million in the quarter on $1 billion of operating revenue, resulting in an EBITDAR margin of 30.8%. Higher-than-normal VIP hold impacted EBITDA by a little under $23 million in the quarter. OpEx, excluding gaming tax, was approximately $2.75 million per day in Q3, up 7.6% year-on-year, with the increase driven primarily by the Gourmet Pavilion and normal cost of living expenses as we called out last quarter. This quarter, we also saw the variable impact of higher business volumes and about $2.5 million of typhoon-related OpEx. In terms of CapEx in Macau, last quarter, we initiated 2 projects, as Craig mentioned, an expansion of the Chairman's Club gaming area at Wynn Palace and a refresh of our Wynn Tower rooms at Wynn Macau. And together with other ongoing CapEx projects, we continue to expect to spend $200 million to $250 million in total for 2025. Moving on to the balance sheet. Our liquidity position remains very strong with global cash and revolver availability of $4.6 billion as of September 30. This was comprised of $2.8 billion of total cash and available liquidity in Macau and $1.7 billion in the U.S. The combination of strong performance in each of our markets globally with our properties generating just under $2.3 billion of LTM adjusted property EBITDAR, together with our robust cash position creates a very healthy consolidated net leverage ratio of just over 4.3x. Our strong free cash flow and liquidity profile also allow us to continue returning capital to shareholders in both Macau and the U.S. To that end, Wynn Macau paid out approximately $125 million in dividends in Q3 after paying a similar amount in Q2. In addition, the Wynn Resorts Board has approved a quarterly cash dividend of $0.25 per share payable on November 26, 2025, to stockholders of record as of November 17. Our recurring dividend highlights our focus on and continued commitment to prudently returning capital to shareholders. In terms of CapEx, we spent approximately $164 million in the quarter, primarily related to the Fairway Villa renovations and food and beverage enhancements in Las Vegas, concession-related CapEx in Macau and normal course maintenance across the business. In addition to that figure, we contributed $93.9 million of equity to the Wynn Al Marjan Island project during the quarter, bringing our total equity contribution to date to $835 million. We also continued to draw on the Marjan construction loan with a drawn amount to date of $583.7 million. We estimate our remaining share of the required equity, including the new Janu project, is approximately $525 million to $625 million. With that, we will now open up the call to Q&A.
Operator: [Operator Instructions] Our first question comes from Dan Politzer with JPMorgan.
Daniel Politzer: First, in Las Vegas, another strong quarter. Can you talk about what you're seeing there versus a few months ago? I -- you guys have been taking share. It sounds like the fourth quarter is trending well. But do you feel like the environment has improved as we've kind of moved out of the summer and you build in that group calendar? And then as you look out to '26, what is your expectation there for growth given that group is pacing higher?
Craig Billings: Sure. I'll start, and then I'll ask Brian to comment as well. I think the summer activity or the summer business environment has been well publicized maybe to the extreme here in Las Vegas. And we saw our business as we were going into the summer. We saw components of the business that we felt like we needed to react to. We reacted to that, and we talked a little bit about this on the last call, we reacted to that by really focusing on rate and not on occupancy. And then, of course, we can kind of staff the building accordingly and really make sure that we're driving EBITDA, and we did that. On the last call, I believe we mentioned that we were seeing things start to improve more broadly in Vegas. And certainly, that was the case. And we also knew that by the time we got to October, we'd be in pretty good shape for the reasons that you just described with respect to group. So I don't think there's anything new there. I think it's kind of as we talked about and as is reflected in the results, inclusive of my commentary about how things look in October. 2026, the primary indicator is group, and Brian will talk a little bit about that. Brian, what did I miss?
Brian Gullbrants: I think it comes down to 3 groups that are really focused right now and really focused on Q3 and they're focusing forward our revenue team, our sales team and our casino marketing team. In Q3, we were squarely focused on casino marketing as well as yielding ADR, as Craig mentioned, over peaks and on weekends to really take advantage of the compression. The team did an amazing job resulting in a record August, delivering really nice great results for the quarter. I think Q3 was a lot better quarter than we initially saw at the beginning of the year. And with respect to group, as stated, we're pacing ahead in '26 in both rate and room nights. The team is now focused on really plugging the last available holes over the summer, which is typical in part for the course. So really proud of what the team has done with their efforts. And as we move forward, we continue to focus on peak periods and weekends where we can take rate where we can.
Daniel Politzer: Got it. And then just turning to the UAE. You guys laid out a little bit over a year ago, a base case, a low case, base case and a high case scenario for EBITDAR there. And I think the high case was $460 million. So I guess, look, the property certainly still is away from opening, but can you lay out or remind us what are kind of the puts and takes between the base case and the low case and the high-end scenario? And obviously, given that it doesn't seem like there's competitors there, where does that maybe put you right now?
Craig Billings: Yes. Look, the -- there's a lot of puts and takes from the base case to the upside case really across those cases. But the #1 by an order of magnitude is. And so really, it comes down to how large the market will be and ultimately, what our share of the market will be. As you rightly pointed out, our share of the market early on should be 100%. So we're not yet ready to revisit the numbers that we put out in our Investor Day. But you've seen sell-side estimates for the market as high as $8 billion. And so even if the market is a fraction of that size, the absence of near-term competition probably introduces some conservatism into our base case, but it's a greenfield market. And so what we really are focused on right now is getting open with the absolute best product that we can.
Operator: Our next caller is John DeCree with CBRE.
John DeCree: Craig, maybe to stick with Las Vegas a little bit. You talked about some of the stuff that happened over the summer, but one of those things that came up was the social media backlash on pricing. And you obviously cater to the highest end of the market. But curious your views on that impact in terms of visitation to Las Vegas as a whole. And specifically, although you're kind of luxury end of the market, have you seen any pushback on pricing? You obviously had a great quarter in holding rate, but curious if you've seen any change.
Craig Billings: I'll take the second. Thank you for those questions. I'll take the second one first, we have not. And then on the first one, I've been getting this question a lot. And Wynn Las Vegas is not necessarily built for those visiting Las Vegas on a tight budget. Our customer generally isn't the customer who focuses on cost of loan -- but they are the type of customer who is really unrelenting when it comes to value for their dollar, right? Their expectation of that perceived value could not be higher. A small example, by the way, I had a patron e-mail me several weeks ago about the difficulty of peeling the complementary oranges in our spa. And we love that. We love feedback like that, no matter how small. And while we're unapologetic about premium pricing, we don't ambush patrons with unexpected charges. So contrary to what you might expect, our mini bar prices are a fraction of some others in the market. We held out as long as we possibly could in charging for parking and really only began to do so when we were at risk of becoming the neighborhood parking lot. Even now hotel guests park free, by the way. Yes, our customer pays a premium room rate, but we don't want them to feel nickel and dime. That's actually contrary to creating high perceived value. So because of that, we haven't seen that pushback on pricing that the rest -- that others in the market might have or at least we've seen on social media. So lastly, while the current narrative is when did Las Vegas get so expensive, Las Vegas is actually chock full of low-price options and values. It really is. But historically, it has also been a town where one could escape one's worries for 3 days and experience world-class service and beautiful environments. In other words, a town of really high perceived value. Any erosion of that perceived value will manifest itself in a mantra against the cost of the experience itself. But read through the underlying messages, and you will see it much more as being about the value for dollar and not the dollar itself per se. And that's just not us. So no, we haven't seen that pushback. If rates compress 50% in Las Vegas tomorrow, would we see that? Would we feel that? Sure, we would. But we will always be at a pricing premium. And the reason is because we deliver a whole lot of value.
John DeCree: That's helpful, Craig. I appreciate those comments. And I too struggled with those oranges. So I'm glad you guys are going to think about that.
Craig Billings: Well, they're easier to peel.
John DeCree: Good. Good. They're already pre-pealed, I'm sure. We look forward to that. If I could ask a question on kind of the inverse of that, we here expect visitation to pick back up in Las Vegas more broadly, especially with the convention calendar picking up. And so your business is a bit uncorrelated, but should you also expect to see a little bit of uplift as visitation to the city comes back as a whole? Or would you say you're kind of just marching to the beat of your own drum right now in terms of where you're positioned in the market? I guess is there more upside as visitation recovers for you in Las Vegas?
Craig Billings: Yes, of course. You really see it -- let's talk about 3 segments, right, high-end gaming, mass gaming and ADR. Mass gaming and ADR are, of course, levered to visitation because they're both either demand-driven or correlate to the number of people that are coming through the doors every day. High-end gaming, very different, right? That's about the equity markets, it's about hosted customer relationships, one-to-one selling. It's the service -- the specific service in the building, that particular customer and what they're doing. So there are certainly aspects of our business that will benefit from incremental visitation to Las Vegas, most notably the rate that we charge for hotel rooms and the activity on our gaming floor outside of the high living rooms.
Operator: Our next caller is Stephen Grambling with Morgan Stanley.
Stephen Grambling: I don't know if you specifically quantified this, but would love to hear any additional color you could give on how to think about the disruption impact in Las Vegas and also how to think about perhaps the return on some of these projects as we look beyond 2026. Are some of these generally maintenance? Or do you think that there will be incremental EBITDA from a lot of these?
Craig Billings: Sure. Thanks. We have not quantified the impact with respect to the Encore Tower remodel, primarily because what we will attempt to do is pick it up in rate. As we start to commence that renovation, we'll talk to you more about what we think the actual impact is. Some of the CapEx that we talk about is normal course maintenance. So the Encore rooms haven't been redone in a number of years, and we need to do that in order to continue to drive rate and continue to be competitive, and continue to deliver on our brand promise. The other changes, particularly in food and beverage that we're making are absolutely ROI-driven projects. Even when we redo a room like we just redid or we just did with PISCES and not too long ago, we did with Mizumi, the incremental check average that we drive, the incremental covers that we drive are absolutely EBITDA accretive. So it really is a bit of a mixed bag. But if you look at our ADRs in terms of maintenance versus growth, but if you look at the ADRs that we've been delivering, I think you can see why it's important that we invest in the hotel.
Stephen Grambling: 100%. Maybe turning to Macau very quickly. What are you seeing in terms of the competitive dynamics, particularly as the quarter progressed, given there's some chatter from some of your peers that there might be a little bit more promotions going on? And how do you generally think about margins going forward as you think about either maintaining price integrity or having to competitively respond?
Craig Billings: Sure. We think about it day to day. So it's -- as I've said on probably in the last 8 calls, it's hand-to-hand combat in Macau. That's just the reality of the market. I haven't -- we haven't seen a notable uptick in promotional -- a material notable uptick in promotional activity. But we have a really clear view, as I've said before, down to the basis point of how much incremental GGR market share we need in order to justify and fade an incremental percentage point of reinvestment. So we're monitoring that closely in real time. In terms of the specific impact that you could see on margins, as we have also said before, we view margin as an outcome of aggressively driving revenues, profitably reinvesting customers and diligently managing costs. So we don't manage to a specific margin per se, but what we're constantly doing is looking at our reinvestment levels relative to revenue, not market share, revenue.
Operator: Our next caller is Robin Farley with UBS.
Robin Farley: Going back to the UAE for a moment. Maybe I'm going to try and ask the question in a different way. I don't know if I'll get any more of an answer. But what were you factoring into your base case when you originally laid it out? I think you mentioned the potential for 2 other competitors to be in the market by 2029. How should we think about what you were kind of factoring in for that competition in terms of impact?
Craig Billings: Sure, Robin. You're right. We were factoring in 2 incremental competitors and a market that I believe, if I'm remembering from the presentation, was $3 billion to $5 billion of GGR. We always tend to operate at a fair share premium. So we did assume a share of that. In fact, you could probably show the GGR -- you could probably take a look at the GGR that we showed and impute our fair share assumptions based on a market of $3 billion to $5 billion. And as I mentioned before, with no announced competition that we're aware of in the market thus far, there probably is some conservatism in those estimates.
Robin Farley: And is the market size, some of your assumptions had assumed that some of the market would be driven by having those 2 other competitors? Or do you think the market size would still be the same?
Craig Billings: Plus or minus, sure. We did not make an assumption with respect to the draw of incremental -- of any incremental competitors. What we really look at is a tremendous amount of airlift, a very robust locals market, a very, very high GDP per capita. Those are the things that we look at when assessing the size of the market. It's a very small market geographically. It's very tightly coupled. It's about 50 minutes from Dubai to the property. So those are all with great road infrastructure. So those are all the things that we look at when assessing market size.
Robin Farley: If I could do one quick follow-up on Vegas. Just for group for 2026, I wonder if you could give us a sense of group pace after Q1, just to get a sense of sort of underlying demand after the benefit, obviously CON/AGG rotating in, just how that looks past Q1?
Craig Billings: We don't break down our group forecast on public calls by quarter, but it's safe to say that we feel good about it.
Operator: Our next call is Brandt Montour with Barclays.
Brandt Montour: So in Las Vegas, curious that RevPAR or that RevPAR growth that you guys saw so far in the fourth quarter. Is that all from mix and rate compression from group? Or are you actually seeing some recovery in leisure occupancy?
Craig Billings: Sure. I'll start, and then I'll pass it to Brian. You mentioned the rate compression from group. And obviously, that helps in terms of pricing. Group rooms obviously are contracted multiple years out and thus tend to carry a lower ADR than the prevailing ADR. So it's really a function of health across the board, but absolutely group compression does help. Brian, what would you add?
Brian Gullbrants: I'd say the same. We've really seen a great start in October. Team has done a great job yielding rates over peak demands. We have a little softness before and after F1, which is typical, and the teams were already reacted and put plans in place to prop that up. So pacing quite nicely in 4, and we feel good about where we're headed.
Brandt Montour: Great. And then a quick question on UAE, and you probably don't want to jump any guns here on what you want to say for the game plan there. But for a property like this, how -- when do you start to go out and build excitement and buzz with some of the bigger global players in your database now or in the database that you want to have? And sort of -- is that sort of a next year -- later next year thing? And then any insight on what you've learned so far from the acquisition in London to that extent?
Craig Billings: Sure. Great questions. The entire management -- the entire senior management team is already on board in the UAE. That includes key marketing leaders. So you should assume, as is the case when you're opening a property in a new region like this, that one -to-one marketing and player engagement has been going on for actually quite some time. Mass marketing and mass communication, you obviously roll out much, much closer to the actual opening, because to create awareness at this point, you're so far from consideration and conversion that it really doesn't do you much good. So we are actively marketing to the folks that we will want in the building on a one-to-one basis, and you should expect to see a lot more on the mass marketing side as 2026 progresses. Mayfair has been very interesting, extremely high overlap between the Mayfair database and the database that we expect in that part of the world. We've learned a whole lot around game preference, reinvestment expectations, competing -- the competitive dynamics in other parts of that region. And it's really been very, very instructive to what we're going to do in Marjan.
Operator: Our next caller is David Katz with Jefferies.
David Katz: I wanted to talk about Macau, we're taking some share seems to be the high-level observation. The hold percentage was high. We've seen October GGR numbers come across in the mid-teens growth percentage. I'd love your -- just your kind of state of the state. What's going on in that market? What's driving that growth? Is it sort of mainland fundamental dynamics in some way? Whatever you can share would be helpful.
Craig Billings: Sure. Thanks, David. Yes, you're right. The market has been pretty good, and it's great to see. I'm going to -- you usually have a very thoughtful and very strategic question on these calls. So I'm going to answer you in a somewhat philosophical and strategic way, that may not satisfy you, by the way. There's a lot of cross currents in China right now. And I think trying to pin recent growth on any 1, 2 or 3, say, particular factors is kind of a cool. I think what's important is to understand that a lot of folks haven't actually been to China since before COVID. And the China today is not the China of 2018. China is a giant, complex economy. And honestly, the country is the pacesetter in a whole bunch of areas, advanced manufacturing, EVs, robotics. So it's really not all that different than the U.S., where you can have certain consumer segments performing really well, while others are performing more modestly. It's a really dynamic place. And the consumer is evolving, too. And frankly, you can see it everywhere in Macau, sometimes for the better, in their affinity for top quality experiences, for example, and frankly, sometimes for the worst, GGR per visitor, for example, in Macau when you have these visitation surges. Chinese consumer tastes are advancing at a rapid clip. And it's -- it will create changes in gaming, food and beverage, retail preferences. So it's an exciting place to be, and we're very long-term bullish. But I think trying to pin ebbs and flows in the market to one particular factor, it's just -- it's like trying to pin ebbs and flows in Las Vegas to any one particular factor. It's just not the case. So again, we're delighted with how the market is doing, and we're very, very mid- and long-term bullish on Macau.
David Katz: Appreciate all that. Just one follow-up to that end. One of the observations we're seeing here in the United States is a bit of a bifurcation where the high end seems to be doing better than the low end. Is that unrelated, but is that a similar dynamic to what you're seeing out of China?
Craig Billings: Sure. I think you see that. It's a premium-led market. It's a premium mass-led market, and I think that is absolutely the case. You also have a shifting set of -- a shifting industrial policy in China that is having certain effects on real estate, certain effects on other forms of industry and value creation, and that's creating new pockets of wealth. It's just a very, very dynamic place. And -- but your general observation is, I think, true. And that's good for us because that's the end of the market that we focus on.
Operator: Our next caller is Chad Beynon with Macquarie.
Chad Beynon: I wanted to go back to Vegas. So occupancy, as we can see in the release, was down a couple of hundred basis points, which was expected. But your slot drop up 7% and your table drop up 12%, clearly shows that either the customers that were staying in your property were spending more per trip than what we had seen in prior periods or maybe others are, I don't know, using other properties as dormitories and then coming over to your property. But can you add any additional color just in terms of the disconnect between the growth that you had in drop versus the number of people staying in your property for the quarter?
Craig Billings: Sure. I'll start, and again, I'll ask Brian to weigh in. Look, we said -- there's a lot that goes into attracting premium play. And disproportionately, the growth that you're seeing is premium play and disproportionately, it is lodgers. And we set out several years ago to double down on what we do really well, okay? That's the service in the building, the amenities we have in the building and also to improve even further certain aspects of our casino marketing function. And as part of that -- or as a result of that, I should say, you have seen pretty significant growth in our gaming market share. And I'm super proud of that. I'm super proud of the team for doing that. And you're seeing the benefits of that in Q3. It really is that straightforward. It's not the mass floor that's driving that. It's the hosted high-end customer. Brian, what would you add?
Brian Gullbrants: Yes, it's a premium customer that's really looking for a premium experience. It's us continuing to invest in our facilities, in our offerings, in the experiences, investing in our people, leaning into who we are focused on our culture of service, cleanliness, safety at a premium level. And people are willing to pay extra for that. And so we get more of the -- our fair share for that and can steal share at that point, people want value.
Craig Billings: So it goes back to the perceived value that I -- the comment that I had in response to John's question. It's also technology. We're using a lot -- we're using technology very differently than we did before on the marketing side. It's -- honestly, there is no one thing. It's all those things. And the results that you're seeing, as I said, are disproportionately people that are staying in the building.
Brian Gullbrants: Yes. I mean, if I can add on F1 right now as we come into fourth quarter, and that's always been a popular topic. We're highly programmed for our premium crowd. We're seeing solid pickup right now. We've maintained our premium rates from last year, and we've maintained a 3-night minimum for that F1 weekend that no one else in the market has done. So feeling really good about where we are. We've actually bought 3 additional tranches of tickets. So really seeing great increased demand. And we have an outstanding relationship with Formula One. We're bullish on the future of the race. And I think it continues to pay dividends for not just us, but for the market.
Chad Beynon: Great. And yes, F1 rates are impressively priced right now. And then just in terms of buybacks and how we should think about capital allocation. I know that was something that was becoming a little bit more recurring in the quarterly result. Julie, can you just give us an update in terms of how you're thinking about that from these levels?
Julie Cameron-Doe: Yes, sure. Thanks for the question. I mean we operate -- we're always diligent in looking at how to allocate our capital, and we operate off the grid. And you'll have seen we didn't do any buying in the quarter. But certainly, when we see value, we will be back into it, and we refuse to be overly programmatic here. We like to retain the flexibility.
Craig Billings: Yes. We've tried to be super explicit that we're not programmatic buyers of the stock. Sometimes if you buy for several quarters in a row, people seem to forget that. But we like to buy when people are unusually bearish and it's excessively cheap. And when we do buy, as Julie mentioned, we use a price-based grid. We had a grid in place in the third quarter. But with the movement in the stock, the grid wasn't in play. We have a significant free cash flow inflection point coming in 2027, driven in large part by Wynn Al Marjan Island. And we think there's continued room for the stock to run. And if it retraces, we will be back at.
Operator: Our next caller is Steven Wieczynski with Stifel.
Steven Wieczynski: So, Craig, I want to ask -- start with Macau and go back to Golden Week, which I think you described it as unusual. And look, we understand there were some weather headwinds early in the week and all that stuff. But wondering what you think kind of drove that unusual pattern, meaning folks, especially the higher-end folks stayed away, then they came back, it seems like in full force later in the month. So I guess the question is more around should we expect this type of behavior to kind of repeat itself going forward around this holiday? Or -- and I know that's somewhat philosophical.
Craig Billings: Yes, no problem. I mean we're asking ourselves the same question. So don't know yet. I mean, I think to the causation, I think we all view it as kind of all of the above, all the things that you said. And we were pleased to see the tail end and volumes after the holiday. And it remains to be seen. We will certainly think about our hosting strategy and our room booking strategy a little bit more flexibly as we move into Chinese New Year and May Golden Week, but we'll see. I mean one event is not yet a trend.
Steven Wieczynski: Yes, it makes sense. And then second, can I ask a question on Boston because you never had a question on Boston.
Craig Billings: Yes. Bring it on.
Steven Wieczynski: Okay. So the property was obviously very -- it's very stable. If I look at the drop on the margin side of things, wondering if that was more around promotions. Just trying to figure out if you guys had to promote more to drive stability around volumes and that was part of the margin deceleration -- or I'm just totally off base with that?
Craig Billings: Definitely not that. It is not a promotion-driven issue. You really have kind of -- and generally, Boston is very, very stable. And in fact, this quarter, it was stable, too. But in response to your specific point, you really have kind of 2 macro trends that are happening there. One is you're constantly trying to grow the database and trying to move out in concentric service from the property and add incremental customers. And the other is labor costs. And so they work against each other, and you're constantly playing those 2 things against each other and trying to drive the best result that you can. It really is that straightforward. So the margin will bounce around based on hold, based on volumes in the period. But we -- the team and Jenny, in particular, are incredibly, incredibly adept. -- at managing the intricacies of that business.
Julie Cameron-Doe: Operator, the next question will be our last.
Operator: And our final question comes from Steve Pizzella with Deutsche Bank.
Steven Pizzella: Starting off with a little bit of a longer-term question. You mentioned the free cash flow inflection as the CapEx cycle tapers off and UAE comes online. Can you talk about how we should think about the possible uses of the free cash flow in 2027?
Craig Billings: Yes, sure. We are always thinking about the best use of cash, irrespective of a free cash flow inflection or not. But we -- you've seen us over the course of the past couple of years, return capital through a recurring dividend and through buybacks. So certainly, capital returns are an important part of our strategy. Beyond that, we have an incremental land bank in the UAE. I think before we really put scaled capital into that, we will want to see -- we will want to size the market and really satisfy ourselves that the market is what we expect and what I think others expect or even better. And so it will really be a question of whether -- how much incremental CapEx to deploy and what we return to shareholders. Kind of the -- I hate to give you a plain vanilla answer, but that's really how we think about things. We have an exciting opportunity in the UAE, and we love the return on capital. So we'll see how those 2 things play out. I suspect if history is any guide, it will probably be a combination of all of them.
Steven Pizzella: Okay. Great. And then real quick, it was reported that the UAE would potentially offer one online gaming license for Emirates. Can you talk about if you would be potentially interested in one of the licenses?
Craig Billings: Not really. I think it's -- we don't tend to comment on press speculation, and I think it's really up to the Emirates and the GCGRA, the regulator there how and when they enact incremental forms of gaming.
Julie Cameron-Doe: Okay. Well, with that, we'll bring the call to a close. Thank you for your continued interest in Wynn Resorts, and we look forward to updating you again early next year.
Craig Billings: Thanks, everybody.
Operator: Thank you for participating on today's conference call. You may now disconnect, and have a great rest of your day.